Operator: Good afternoon, everyone, and welcome to the TechTarget Third Quarter 2013 Earnings Conference Call. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference call over to Mr. Bob Kellegrew, General Counsel, followed by Mr. Greg Strakosch, CEO, who will address the earnings call. Mr. Kellegrew, please go ahead.
Bob Kellegrew: Thank you, Jamie. Before turning the call over to Greg, I want to remind everyone on the call of our earnings release process. As you saw, we issued our press release at 4 p.m. today. And as previously announced, in order to provide you the usual update on the business ahead of the call, we have posted a letter to the stockholders from Greg on the Investor Information section of our website. We have also furnished it with our 8-K filing. This stockholder letter is intended to provide supplemental information about the quarter ended September 30. On the call today, Greg will briefly summarize our financial results for the most recently completed quarter, and then management will devote the rest of the call to answering your questions. Additionally, I'd like to remind everyone that during the course of this conference call and the Q&A session, TechTarget will make certain statements that may be considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, particularly, guidance as to the future financial results. Investors are cautioned that any such forward-looking statements are not guarantees of our future performance and involve risks and uncertainties and that actual results may differ materially from those contemplated by such forward-looking statements. These risks, along with other items, including market acceptance of our products and services; relationship with customers, strategic partners and our employees; difficulties in integrating acquired businesses; and changes in economic or regulatory conditions; and other trends affecting the Internet, Internet advertising and information technology industries. For a description of these and other risks, we encourage you to read the section entitled Risk Factors in our annual report filed on Form 10-K, as well other filings we have made. In addition, the forward-looking statements speak only as of the date of this call, and the company undertakes no obligation to update these forward-looking statements. Following Greg's introductory remarks, in addition to Greg, the following members of our management team will be -- available to answer your questions: Mike Cotoia, our Chief Operating Officer; and Janice Kelliher, our Chief Financial Officer. And now I'll turn the call over to Greg.
Greg Strakosch: Great. Thanks, Bob. We feel that Q4 will set the foundation for us to return to double-digit online revenue growth in 2014, with flat rent revenues and at least 50% incremental EBITDA margins. The macro IT market has been very challenging in the past 2 years. Through at that time period, we've managed sustained profitability by investing in new growth initiatives. We've used our strong free cash flow to buy back a substantial amount of stock. As our growth initiatives take hold in 2014, and we return to double-digit online revenue growth, we're very optimistic we will drive strong shareholder returns. I will now turn over the call to questions.
Operator: [Operator Instructions] And our first question comes from Colin Sebastian from Robert W. Baird.
Rohit Kulkarni - Robert W. Baird & Co. Incorporated, Research Division: This is Rohit Kulkarni, I'm filling in for Colin. Sorry, he had to travel. Can you -- just around 2014 outlook, can you give any forms of color around what gives you confidence around double-digit online revenue growth. What needs to happen? Or what needs to fall in place for you to achieve that kind of a growth? And in terms of investments, hiring or anything else like that?
Greg Strakosch: Sure. So as we stated on our last call, we said -- we thought Q1 was the bottom of the market for us, that the worst was behind us. So it's basically 2 places -- so one thing I'll say, we are not forecasting -- or our forecast isn't dependent upon a recovery in IT spending. So if there's a recovery in IT spending, that will be upside to this forecast. This forecast is based on the initiatives that we've been investing in. So there's basically 2 main places we've been investing. The first one is our international operations. About 4 years ago, we started migrating from a partnership strategy to a direct strategy outside the U.S. And we've had excellent growth, ever since we started that, but when we started that, international revenue was only about 5% of overall revenue. So when we were growing at 50% plus, it didn't make that much of a material difference. But now, our international online revenue's in the neighborhood of 30% and growing at better than 20%, that now becomes immaterial growth driver for us. So we expect to see our international growth be very healthy again next year as we continue to make good traction in Europe, good traction in Asia and we're initially -- our initial of efforts in Latin America have been very promising. The second place where we've been investing aggressively is our Activity Intelligence Platform and our new IT Deal Alert product qualified sales opportunities that we introduced in July. So that product is being very well accepted in the marketplace. We're seeing a lot of customers adopt it, with 25 IT Deal Alert customers in Q2. We added approximately 25 new customers bringing it up to 50 in Q3, and that's accelerating further where we said today that we're expecting more than 85 customers in Q4. So adding at least another 35 customers. So between the side to the international growth and the incremental growth that's coming from IT Deal Alert and kind of seeing a leveling off of core spend, you put all those things together, and it makes us very confident that we can achieve double-digit revenue growth in 2014.
Rohit Kulkarni - Robert W. Baird & Co. Incorporated, Research Division: Okay, great. And just one quick follow-up on IT Deal Alert other than -- what are you assuming in terms of contributions that made in Q4, for example, on a run-rate basis or what extra color you can give? And remind us again, how was the margin profile similar or dissimilar versus the core revenue base for IT Deal Alert?
Greg Strakosch: Yes, so the IT Deal Alert margin is very similar gross margin to our regular online revenue, which is 70% range. And the main reason for that is that IT Deal Alert, we're basically running data analytics against our existing audience and the content that they're consuming. So the main investments there are the content we produce and our audience. So IT Deal Alert is just further way to monetize that. So it's at very high margins. In terms of Q4 contribution, we didn't disclose specific revenue amounts, but I'm going to give you a little bit of a ballpark. I'd say that our average deal for IT Deal Alert is about $30,000 per quarter. Now not all deals deliver 100% in the same quarter. But it's a very -- it's becoming a very significant revenue stream. I think it will be -- I think it will be a double-digit percentage of revenues in 2014.
Operator: Our next question comes from Dan Kurnos from The Benchmark Company.
Daniel L. Kurnos - The Benchmark Company, LLC, Research Division: Greg, just a quick point of clarification on online revenue. Are we talking total 2014 online revenue up double digits? Or just specific quarters as we lapse some comps here?
Greg Strakosch: I think it will be -- I think it will be both. I think that for the year we'll have double-digit revenue growth and I think we'll have that in each quarter as well.
Daniel L. Kurnos - The Benchmark Company, LLC, Research Division: Okay, great. And then maybe just give us a sense of product roadmap. I know you're coming off of a recent launch. But how many products might we expect next year? Or just a sense of timing of things?
Greg Strakosch: Yes, we're in a relatively early innings with IT Deal Alert. Our very first launch was in Q1 of this year. So we have a product roadmap. We'll have new products and enhancements of that product, at least, probably 1 to 2 refreshes per year. So that's -- that will continue.
Daniel L. Kurnos - The Benchmark Company, LLC, Research Division: And then, as we get into next year, I understand you're not looking for any recovery in the IT market, but maybe in the international forum, do you think you can get more aggressive on the marketing side to try to drive business beyond 2014?
Greg Strakosch: Yes, I mean, I think, we're being relatively aggressive. We are, this year, we went direct in France and Germany. So those are both early inning plays for us. So, the place, where, to be a little more aggressive, is in Asia-Pac because that's where the healthiest economy is. But we have plans to continue to add more sales people in that region to take advantage of the opportunity there. In Europe, where the IT market is probably pretty similar to the IT market in North America, we've continuing to add more sales people there because we're doing very well, taking advantage of the shift from off-line to online, where in Europe that shift is probably 2 or 3 years behind the U.S.
Daniel L. Kurnos - The Benchmark Company, LLC, Research Division: And then just lastly, in terms of cash, you obviously you've done a great job returning cash to shareholders. You've had the tender now. You've got about 33, I think, left after the tender. Any thoughts, acquisitions or maybe adding another growth piece to the business or something in the adjacent vertical? Or do you think it will mostly be earmarked for return to shareholder?
Greg Strakosch: Listen, in terms of acquisitions, where our strategy is to be opportunistic. They're hard to forecast. There's -- we look at a lot of properties that we could potentially acquire, but it's a high bar to clear. It has to be a very high quality property. And a lot of times, when you look under the cover, it doesn't meet that test. The second thing, it has to be for sale, sometimes properties aren't for sale. And then third, it had to be for sale and it be at a reasonable price. So to hit all 3 of those criteria makes it challenging. But we will -- we're always looking at things. We're very opportunistic. And if the right opportunities came about, as we have in the past, we would pull the trigger on acquisitions. In terms of adjacent verticals, I don't think you'll see us do that. The opportunity in the IT market is enormous, and we have 2 businesses, our international, 2 segments of our business, the international business and IT Deal Alert both growing very rapidly. So there's a lot of opportunity there. So we'll -- that's where we'll continue to make our investments.
Operator: And ladies and gentlemen, at this time, I'm showing no additional questions. I would like to conclude today's conference call. And we do thank you for attending today's presentation. You may now disconnect your telephone lines.